Operator: Greetings and welcome to the Align Technology Second Quarter 2017 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Shirley Stacy, VP of Corporate and Investor Communications. Ms. Stacy. You may begin.
Shirley Stacy - Align Technology, Inc.: Good afternoon and thank you for joining us. I'm Shirley Stacy, Vice President of Corporate Communications & Investor Relations. Joining me for today's call is Joe Hogan, President and CEO; and John Morici, CFO. We issued second quarter 2017 financial results today via Marketwired, which is available on our website at investor.aligntech.com. Today's conference call is being audio webcast and will be archived on our website for approximately 12 months. A telephone replay will be available today by approximately 5:30 PM Eastern Time through 5:30 PM Eastern Time on August 10. To access the telephone replay, domestic callers should dial 877-660-6853 with conference number 13665263 followed by #. International callers should dial 201-612-7415 with the same conference number. As a reminder, the information that the presenters discuss today will include forward-looking statements, including statements about Align's future events, product outlook, and the expected financial results for the third quarter of 2017. These forward-looking statements are only predictions and involve risks and uncertainties that are set forth in more detail in our most recent periodic reports filed with the Securities and Exchange Commission. Actual results may vary significantly and Align expressly assumes no obligation to update any forward-looking statements. We've posted historical financial statements, including the corresponding reconciliations and our second quarter conference call slides on our website under Quarterly Results. Please refer to these files for more detailed information. With that, I'll turn the call over to Align Technology's President and CEO, Joe Hogan. Joe?
Joseph M. Hogan - Align Technology, Inc.: Thanks, Shirley. Good afternoon and thanks for joining us. On our call today, I'll provide some highlights on the quarter, and then briefly discuss the performance of our two operating segments, clear aligners and scanners. John will provide more detail on our financial results and discuss our outlook for the third quarter. Following that, I'll come back and summarize a few key points and open up the call to questions. Our second quarter results were better than expected across all key financial metrics, including revenue, volume, margins and EPS. Q2 revenues increased 32.3% year-over-year, driven by strong Invisalign case shipments across all channels, and especially in the teen segment. Solid execution of our strategy and key investments continue to deliver strong growth across the board, with record Invisalign volume in almost every geography. Q2 also had all-time high of nearly 5,000 newly trained doctors in a quarter for the first time ever. And our iTero scanner business also performed well this quarter with revenues up 36.7% year-over-year. For Q2, North American Invisalign case volume was up 10.3% sequentially and 27.6% year-over-year, reflecting strong year-over-year growth from both orthodontists and GP dentist channels. Continued uptake with teens drove Invisalign growth in North America and contributed to another record quarter for ortho volumes, up 34.5% year-over-year, and an utilization up to 13.6 cases per doctor. Q2 volume for North America GP dentist increased 18.9% year-over-year, primarily reflecting continued expansion of our GP customer base and utilization growth, which increased to a record 3.3 cases per doctor. Q2 was the first quarter we offered Invisalign Lite in North America and we saw solid uptake, especially among GP dentists. Invisalign Lite includes up to 14 stages of aligners and is intended to treat simple to moderate cases. Q2 Invisalign volume for international doctors was up 13.6% sequentially and 37.4% year-over-year, driven primarily by new customers in both EMEA and APAC regions. In EMEA, Q2 volumes were up 33.2% year-over-year. All five of our core European markets showed record growth rates led by Spain and the UK. Expansion markets also had record volume with over 50% year-over-year growth led by Central and Eastern Europe and the Benelux. In Asia Pacific, Q2 volumes were up 44.4% year-over-year led by China where we trained over 1,000 doctors for the first time, followed by growth from Southeast Asia, Japan, and ANZ. Turning to the teen markets, over 55,000 teenagers started treatment with Invisalign clear aligners in Q2, up 12.6% sequentially and 37.6% year-over-year, reflecting continued acceleration above adult case volume growth. North America ortho teen cases increased 11.6% sequentially and 42.1% year-over-year compared to adult cases of 9.8% and 30.5%, the third consecutive quarter teen growth rate that has been above adults. International case shipments to teen patients increased both 13.7% sequentially and 40.5% year-over-year as well. In Q2, we expanded commercialization of Invisalign treatment with mandibular advancement to select countries in EMEA and APAC. MAT (05:29), as we call it, is the first clear aligner solution for Class II correction that advances the mandibular while moving teeth at the same time. While we're still very early in adoption cycle to-date, we're pleased with the initial update and expect to see continued ramp-up over the course of the year Invisalign treatment with mandibular advancement is not available in the U.S. yet where it's pending FDA approval. The Invisalign brand and our consumer marketing campaign programs continue to be key factors in raising awareness and creating demand for Invisalign treatment. In Q2, we continued to benefit from our investments in new programs as well as optimizing online spending and media mix for existing programs. In U.S., we launched our new teen-focused marketing campaign in May that aims to educate teens and their parents, moms especially, about the benefits of teeth straightening with Invisalign clear aligners. It also works to ensure that teens know Invisalign treatment is the best option for their lifestyle. The new program contributed significant growth in consumer demand during the quarter that helped drive Invisalign teen volume. Our teen campaign expands to the Invisalign Made to Move campaign that we introduced in March and we continue to see positive impact from the overarching campaign and consumer interest as well. Specifically, in Q2, we saw 23% year-over-year increase in unique visitors to our website and achieved significant growth year over year in doctor locator searches. We also saw continued uptick in adult male patients as compared to females as a result of our changing consumer targeting approach. In EMEA, early results show the Invisalign Made to Move campaign is resulting in higher engagement with consumers across digital display, PPC and social channels. During the quarter, we piloted new social media formats that delivered exceptional results, Pinterest, Facebook Canvas and Instagram, all outperforming benchmarks. Social media remains a key driver delivering 200% more users. Although we also saw a significant increase in the number of smile assessment completions, plus 22%, and total leads, plus 30%, and we'll continue to roll out the Made to Move campaign across the remaining countries in EMEA in Q3. In the Asia Pacific region, our Q2 customer marketing campaign is focused primarily on Australia and New Zealand where we saw momentum from our Summer Campaign featuring Invisalign Ambassador, John (sic) Jason Dundas, a well-known TV host and personality in Australia. The campaign shares Jason's personal journey of how Invisalign treatment helped transform his smile and his career along with a call to action for consumers focused on their New Year's resolution to improve their lives by getting the smile they've always wanted. We also continued driving Invisalign website doctor locator visits by reaching out to potential patients who engaged with our ads and banners in Q1. And in India, where we're just getting started, we participated in Beach Fashion Week, where the Invisalign brand was their Beautiful Smile Partner. In Q2, our scanner revenues increased 36.7% year over year and 26.9% sequentially. In May, we announced the new iTero Element 1.5 software upgrade, which includes two key features, TimeLapse and 1 minute scans. TimeLapse compares a patient's prior 3D scans to their most current scan and gives doctors an enhanced visualization assessment and communications tool that can help them provide additional treatment recommendations. 1 minute scans enable practitioners to complete a full arc scan in less than a minute, with the same accuracy and reliability practitioners have come to expect from iTero scanners. The use of our iTero scanners for Invisalign case submissions in place of PVS impressions continues to expand, remains a positive catalyst for Invisalign utilization. In Q2, total Invisalign cases submitted with a digital scanner in North America increased to a record 59%, up from 47% in Q2 of last year. In the doctor-directed, at home channel, Q2 was our second full quarter supplying clear aligners to SmileDirectClub or SDC. Q2 shipments to this new channel was strong and nearly tripled sequentially off a small base. As their exclusive third-party supplier, we produced roughly one-third of SmileDirectClub's clear aligner volume and they manufacture the remaining amount. In Q2, SDC continued to invest significantly in consumer marketing, including TV advertising, print, online media, including social media, which we believe has a positive effect on both SDC and Invisalign demand. We also opened several new SmileShops in the U.S., which are continuing to ramp. Overall, we're excited about the long-term potential for the at home, doctor-directed market; remain pleased with our investment and supply agreement. Today, we also announced that we have purchased an additional 2% of SmileDirectClub for $12.8 million, which brings our total ownership to 19%. We've extended SDC's line of credit from $15 million to $30 million. Finally, before I turn the call over to John, I want to provide a brief update on our operational expansion plans. In June, we opened a new treatment planning facility in Chengdu, China which services and supports our customers within China. It also serves as a clinical education and training center for all of our customers across Asia Pacific. We have been steadily migrating Chinese Invisalign cases to Chengdu and are continuing to train new technicians and improved lead times. We'll also open a treatment planning facility to support our EMEA customers in Cologne, Germany in Q3. With that, I'll turn it over to John.
John F. Morici - Align Technology, Inc.: Thanks, Joe. Now for our Q2 financial results. Total company revenue for the second quarter was a record $356.5 million, up 14.9% from the prior quarter and up 32.3% from the corresponding quarter a year ago. Clear aligner revenue of $321 million was up 13.7% sequentially, driven primarily by better than expected Invisalign shipments and higher Invisalign ASPs. Year over year clear aligner revenue growth, up 31.9%, reflected strong Invisalign shipment growth across all customer channels and geographies and increased prices. This was partially offset by product mix shift to non-comprehensive products, primarily driven by increased sales of SDC clear aligners, higher discounts and unfavorable foreign exchange rates. Q2 Invisalign ASPs were up sequentially approximately $15 from Q1 to $1,285 reflecting price increases and favorable foreign exchange, partially offset by increased promotional discounts. On a year-over-year basis, Q2 Invisalign ASPs were flat, reflecting price increases, offset by increased promotional discounts and unfavorable foreign exchange. For the second quarter, total Invisalign shipments of 231.9 thousand cases were up 11.5% sequentially, driven primarily by our international doctors and North American orthodontists. Year-over-year Invisalign case volume growth was up 31%, driven by growth across all regions as well as expansion of our customer base, primarily from Asia Pacific. For North American orthodontists, Q2 Invisalign case volume was up 10.5% sequentially and up 34.5% year over year. For North American GP dentists, Invisalign case volume was up 9.9% sequentially and up 18.9% year over year. For international doctors, Invisalign case volume was up 13.6% sequentially and up 37.4% year over year. Our Scanner & Services revenue for the second quarter was $35.4 million, up 26.9% sequentially and up 36.7% year-over-year. Moving onto gross margin, second quarter overall gross margin was 76%, up 0.1 point sequentially and down 0.2 points year-over-year. Clear aligner gross margin for the second quarter was 78.1%, up 0.2 point sequentially, primarily due to leveraging our manufacturing costs over higher volumes. Clear aligner gross margins were down 0.5 points year-over-year, primarily due to lower ASPs. Scanner gross margin for the second quarter was 56.7%, up 0.6 points sequentially, primarily due to lower services cost on our installed base and partially offset by lower ASPs. Scanner segment gross margin was up 3.1 points year-over-year, primarily a result of lower service costs and product mix shift to our lower cost iTero Element scanner. Q2 operating expenses were $187.3 million, up sequentially by $13.4 million or 7.7%, primarily related to increased employee head count, marketing programs, including our advertising campaigns, key customer events and international commercialization efforts. On a year-over-year basis, Q2 operating expenses were up 33.7%, reflecting increased head count and continued investment in our go-to-market activities critical to the growth of the business. Our second quarter operating margin was 23.4%, up 3.5 point sequentially and down 0.8 points year-over-year. The sequential increase in operating margin relates primarily to increased clear aligner volumes. On a year-over-year basis, the decrease in operating margin primarily reflects higher operating expenses, as we invest in head count, geographic expansion and new products in order to increase adoption and accelerate the growth of our business. With regards to our second quarter tax provision, our tax rate was 17.7%, which includes $1.1 million in excess tax benefit and is down by approximately 5.5 points compared to prior year, primarily due to a favorable resolution of foreign jurisdiction unrecognized tax benefits during the quarter. We supply aligners to SmileDirectClub, and, therefore, revenue and cost for this activity are included in our operating profit and reporting results, although they were immaterial to the company this quarter. Additionally, we report our share of SmileDirectClub's losses below operating margin and our tax provision, and is entitled Equity and Losses of Investee, net of tax. Our Q2 loss, net of tax was approximately $2.2 million or $0.03 per diluted share. Second quarter diluted earnings per share was $0.85, flat compared to Q1 and up 37% compared to prior year. Moving onto the balance sheet, as of the second quarter cash, cash equivalent and marketable securities, including both short and long-term investments, were $676.6 million. This compared to $644.2 million at the end of Q1, an increase of approximately $32.4 million, primarily related to net income growth and our collections efforts. Of our $676.6 million of cash, cash equivalent and marketable securities, $218.4 million was held by the U.S. and $458.2 million was held by international entities. Q2 accounts receivable balance was $291.7 million, up approximately 9.2% sequentially. Our overall DSO was 74 days, down three days sequentially and up 10 days year-over-year. The year-over-year increase is a result of our ERP and other related systems implementation last July, which have impacted our timing of our customer collections. As we work through these changes, we anticipate that our DSOs will continue to decline over the next few quarters. Cash flow from operations for the second quarter was $110.5 million, up $34.3 million compared to prior year. Free cash flow for the second quarter, defined as cash flow from operations less capital expenditures, amounted to $92 million. Capital expenditures for the second quarter were $18.5 million, primarily relating to building improvements, equipment purchases for additional manufacturing capacity, as well as our global expansion efforts. During the second quarter, we paid $50 million under an accelerated stock repurchase plan, ASR, in which we received an initial delivery of approximately 300,000 shares of common stock. The final number of shares repurchased will be determined at the completion of the ASR, based on Align's volume-weighted average stock price during the term of the ASR, less an agreed upon discount. Their remains approximately $250 million available for repurchases under the existing stock repurchase authorization. And as Joe mentioned earlier, we have purchased an additional 2% of SmileDirectClub for $12.8 million, which brings our total ownership to 19%. And we extended SDCs line of credit from $15 million to $30 million. All other terms remain the same. With that, let's turn to our Q3 outlook and the factors that inform our view, starting with the demand outlook. For our international markets, expect Invisalign volume to be up sequentially which reflects continued strong growth in APAC, partially offset by summer holidays in EMEA. For North America, expect Invisalign volume to be flat to slightly down sequentially reflecting stronger teen volume for orthos, offset by GP dentists who typically have less days in the office and lighter patient traffic during the summer. For our scanner business, we expect revenues to be up sequentially. With this as a backdrop, we expect the third quarter to shape up as follows. Invisalign case volume is expected to be in the range of 231,000 to 234,000 cases, up approximately 30% to 32% over the same period a year ago, reflecting continued strong demand, including summer seasonality in North America, ortho, and Asia Pacific. We expect Q3 net revenues to be in the range of $355 million to $360 million, an increase of 27% to 29% year-over-year. We expect Q3 gross margins to be in the range of 74.7% to 75.7%, reflecting higher ASPs, partially offset by higher expenses as we globalize our treatment planning operations. We expect Q3 operating expenses to be in the range of $184.5 million to $187.5 million, relatively flat on a sequential basis. Q3 operating margin should be in the range of 22.7% to 23.6%. Our effective tax rate, including an excess tax benefit of about $1 million, should be approximately 21%. We expect a $2 million loss related to our share of SmileDirectClub and diluted shares outstanding should be approximately 81.8 million, exclusive of any share repurchases. Taken together, we expect our Q3 diluted earnings per share to be in the range of $0.78 to $0.81. In addition, as we continue to operationalize expansion efforts, we expect CapEx for Q3 to be approximately $70 million to $75 million, which includes purchasing a new facility in Costa Rica for $26.1 million. With that, I'll turn it back over to Joe for final comments. Joe?
Joseph M. Hogan - Align Technology, Inc.: Thanks, John. Overall, we're pleased to see the first half of the year off to such a strong start. Many of you already recently think of a question about us being at a tipping point and I'm sure we'll get that question following today's call. Frankly, we think it's too early to tell. The growth we're seeing in our business is better than we expected and reflects progress in several areas, including clinical efficacy, sales coverage and support models, customer engagement and demand generation and patient capture. We believe it also reflects a healthy underlying market with solid patient traffic and a significant increase in direct to consumer programs by us and others. There's still a lot of work ahead as we move toward our goal of replacing metal braces and making Invisalign the standard-of-care in orthodontics. We know there will be challenges and we aren't drawing a straight line up and to the right at this point. But we're confident in our ability to drive this industry forward and transform it from an outdated analog process to a fully digital system. Thanks for your time today and we look forward to your questions.
Operator: At this time, we will be conducting a question-and-answer session. Our first question comes from the line of Robert Jones of Goldman Sachs. Please proceed with your question.
Robert Patrick Jones - Goldman Sachs & Co. LLC: Great. Thanks for the questions. Joe, the teen growth for the past couple of quarters now – the acceleration has been noticeably pretty steep, understanding that it's obviously not one factor that's driving this acceleration. Is there any couple areas that you would point to specifically, anything that you could just help us get our head around what you think is most resonating with practitioners in the marketplace?
Joseph M. Hogan - Align Technology, Inc.: Bob, from a teen's standpoint, overall, I'll just focus on North America for a second. We mentioned last year when we put our plan together that we would have a strong focus on teens as we go into the second quarter this year, because this is the teen season for North America. What we started that program off with is we had several programs in North America just to get doctors ready for this program overall, next-level partnership, a program we call IMOP (23:50), some specific things that really focused on teen to get that base ready. And then we started to really unleash the communications part of this, the $14 million or so that we're moving in consumer advertising to do that. So I think when you look at the first half and those two kind of simultaneous actions, that's been really one of the biggest underlying drivers in North America to make that really go. That along with our ad campaigns and everything else we've put in place that are much more specific these days in the sense of how we go to market. You see how we're working both at teens channels and the moms channels from a marketing standpoint also. It's just a much cleaner, more specific approach to teens that includes a real sales effort with our doctors and a real strong customer patient facing piece with moms and teens.
Robert Patrick Jones - Goldman Sachs & Co. LLC: No, I appreciate all that. And I guess just shifting over, I had a question on North American GPs. I know the focus just has been on orthos and rightfully so, but noticed that the North American GPs saw a significant step-up from the level of growth you had been seeing. Anything that you would talk to there specifically that you think would attribute to the step-up in growth we saw in the quarter?
Joseph M. Hogan - Align Technology, Inc.: Yeah. I'd say two major variables, Bob. One would be just media spend. We've had a significant increase in media spend itself and we have seen a strong correlation between media spend in the U.S. and the GP increase. And then secondly, like our Lite product that we introduced in the second quarter with the GP segment, we're more and more targeting that segment with easier products that are more simple for them to deliver to the marketplace. So I'd say media spend in some specific products have really helped in that sense.
Robert Patrick Jones - Goldman Sachs & Co. LLC: Got it. Makes sense. Thanks for the questions.
Joseph M. Hogan - Align Technology, Inc.: Okay, Bob. Thanks.
Operator: Our next question comes from the line of Brandon Couillard of Jefferies. Please proceed with your question.
Brandon Couillard - Jefferies LLC: Thanks. Good afternoon.
Shirley Stacy - Align Technology, Inc.: Hi, Brandon.
Joseph M. Hogan - Align Technology, Inc.: Hi, Brandon.
Brandon Couillard - Jefferies LLC: Hey. Joe, on SmileDirectClub, could you give us the sense of how much the manufacturing volume you did for them in the first quarter? And I'm just curious like why the additional equity investment couldn't have been larger and if that was even an option for you guys.
Joseph M. Hogan - Align Technology, Inc.: Well, you know what, we mentioned in my briefing that we're doing one-third of their cases right now. It's still not material in that sense, Brandon. We just wanted to give you just an idea of where we stand overall. They do still two-thirds of their volume. As far as the percent equity, it was just an opportunity we have. We work closely with David and his team at SDC. And that equity was available. We're pleased with the relationship and we thought that was just a great next step for us in that sense.
Brandon Couillard - Jefferies LLC: And then on teen, I'm curious if the second quarter was materially ahead of where you thought it would be in terms of volumes? And then would it be reasonable to expect a further acceleration in the teen growth rate in the third quarter given that the ad campaign didn't really start until mid-2Q?
John F. Morici - Align Technology, Inc.: Yeah. I'll take that one, Brandon. This is John. What we saw with teens that helped us contribute to some of the upside that we saw in the second quarter for some of the volume and it's part of the overall campaign that we have where we're spending additional this year. And our guidance in Q3 reflects all those factors into our numbers.
Brandon Couillard - Jefferies LLC: Thanks. And then the $14 million for the ad campaign, was that all absorbed in 2Q or is there some that rolls into the third quarter as well?
John F. Morici - Align Technology, Inc.: That's throughout the year. I mean primarily where a lot of that hits in the second quarter and third quarter, but there is additional spend throughout the year.
Brandon Couillard - Jefferies LLC: Got you. Thanks.
Joseph M. Hogan - Align Technology, Inc.: Thanks, Brandon.
Operator: Our next question comes from the line of John Kreger of William Blair. Please proceed with your question.
John C. Kreger - William Blair & Co. LLC: Hi. Thanks.
Joseph M. Hogan - Align Technology, Inc.: Hi, John.
John C. Kreger - William Blair & Co. LLC: Hey. Another just quick follow-up on SmileDirect. When you did that deal, I think, you said that when income in case volume came in, if the case was too complicated, it would sort of get pushed into Invisalign. Is that the case? And if so, what have you learned? And what sort of percentage of case volume ends up driving into Invisalign?
Joseph M. Hogan - Align Technology, Inc.: We haven't had – John, it's Joe. We haven't had terrific conversion rates in that sense, but we've learned a lot and we tweak that model all the time is the patient to SmileDirectClub service, they have a certain price point in mind. They usually have a simple kind of an approach that they want in the sense of correcting their smile. And they need to be dealt with really quickly. In other words, when those patients are interested, moving them into an orthodontist in this case or a GP that wants to do that, it has to be done quickly and concisely, because these patients are – they're just different than the normal patients that we work with. So we keep honing that model. We've had some success and we keep building on it, but we think in the future, as we put this thing together, we'll have a much better yield.
John C. Kreger - William Blair & Co. LLC: Great. Thanks. And, Joe, I think, you said you're just getting started on India. Can you talk a little bit more about that market, maybe try to size it for us and just kind of lay out what sort of strategy you're thinking about to ramp it over time?
Shirley Stacy - Align Technology, Inc.: Oh, India. You said, India, John?
John C. Kreger - William Blair & Co. LLC: Yeah, India.
Joseph M. Hogan - Align Technology, Inc.: India. That's India. I'll go back to India again this year. I was just there last year. What we do when we go into a country like that, John, is you really do this by city. You go in a city and you recruit doctors and you just begin to ramp up in those specific cities. You find great doctors in the sense of peer-to-peer being able to – one doctor teach another. And so, you look at this as almost the city-by-city effort in India. We'll take obviously the biggest and the most prosperous cities first and we work out from there. We're really in our second year of this in a big way. We're reaching our goals. The businesses has been growing pretty rapidly in that sense and this is a model we really follow all over the world. It's just when you get to India, you just have to make sure that you approach it in an Indian way. And here is an example what's an Indian way is. They often don't want to buy our scanners. So what we have is a scanner that's up in a few of them in a city on a truck, just they rent and we move them in almost daily into different offices. They line up patients to do scans. And so we just acclimatize, to use that word to the marketplace, and keep working that. So we're excited about it and we feel very confident of our long-term trend there.
John C. Kreger - William Blair & Co. LLC: Great. Thanks much.
Joseph M. Hogan - Align Technology, Inc.: Yeah. Thanks, John.
Operator: Our next question comes from the line of Erin Wright of Credit Suisse. Please proceed with your question.
Adam Krasner - Credit Suisse Securities (USA) LLC: Hi. Good afternoon. This is Adam Krasner on for Erin. I just wanted to touch on the strength in doctors trained in the quarter. I'm trying to get a sense of what the typical ramp is for new doctors who were added to get up towards the average level of productivity?
Shirley Stacy - Align Technology, Inc.: Average ramp of a new doctor? Is that...
Adam Krasner - Credit Suisse Securities (USA) LLC: Right. Like that probably didn't contribute very much to the record shipments in the quarter, the fact that you added so many new doctors or did it?
Shirley Stacy - Align Technology, Inc.: So, where we're having a lot of expansion opportunities, obviously, outside (30:54) or adding new doctors. So you're seeing a lot of the growth outside the U.S. being driven by adding new doctors. In the U.S. and in particular in both our ortho and GP channels, you're seeing growth by utilization predominantly, but we saw both as a driver in the GP channel.
Adam Krasner - Credit Suisse Securities (USA) LLC: Thanks. And do you have a sense of – I'm looking at the statistic in the press release of 123,000 doctors trained worldwide. Is there a sense for what the total size of that market is to get a flavor of kind of how far the penetration is as of now?
Shirley Stacy - Align Technology, Inc.: Yeah. So, when you look at the total size of the number of orthodontists and general dentists – and we can follow-up with you if you want more details – in the U.S., there is roughly 140,000, 150,000 GPs and orthodontists, roughly 10,000. Outside the U.S., the market is substantially larger. In Europe, there's probably 300,000. In Asia Pacific, there's probably twice that. So very, very – yes, it's huge. It's four or five times up. So – and we're happy to provide more stats for you offline.
Adam Krasner - Credit Suisse Securities (USA) LLC: Great. Thanks a lot.
Joseph M. Hogan - Align Technology, Inc.: Thanks, Adam.
Operator: Our next question comes from the line of Steven Valiquette of Bank of America Merrill Lynch. Please proceed with your question.
Steven J. Valiquette - Bank of America Merrill Lynch: Thanks. Good afternoon, Joe and John. Incredible results.
Joseph M. Hogan - Align Technology, Inc.: Hi, Steve.
Steven J. Valiquette - Bank of America Merrill Lynch: So as you've been doing work and just talking to more practitioners, we're getting even greater appreciation for the SmartTrack aligner material. And, I guess, the disclosure back in May that you got the two patents issued, just curious to get more color around the patent protection on that material. If you think it is a critical part of the overall picture. I mean the biggest thing is – these seem to be the primary patents to protect that material, just want to confirm that. And then one was filed in 2012, the other one in 2016. But really, I guess, what I care about more than anything else is that what's the expiration dates? How long will you get protection on these materials? Is it 20 years from the date of filing or 20 years from date of issuance? I just forgot the details around that. Thanks.
Joseph M. Hogan - Align Technology, Inc.: Steve, it's Joe. Data filing is 20 years. There's some multi-layer material. Yeah. We do have patent protection on it now. The vendor that we use on it has a certain amount of restrictions in the sense of dentistry and where it can be used, but also has patents on process and all and how this is put together, not an easy material to doing that way. So yeah, I mean, just look at it as from data filing and all, we have a significant number of years that SmartTrack continue to be an Invisalign material.
Steven J. Valiquette - Bank of America Merrill Lynch: So, on the simple math, you should be good until about 2032 or so. Is that about right?
Joseph M. Hogan - Align Technology, Inc.: Yeah. We'll both be on a beach by then, so.
Steven J. Valiquette - Bank of America Merrill Lynch: Okay. Just wanted to confirm that. Thanks.
Shirley Stacy - Align Technology, Inc.: Thanks, Steve.
Joseph M. Hogan - Align Technology, Inc.: Thanks, Steve.
John F. Morici - Align Technology, Inc.: Thanks, Steve.
Operator: Our next question comes from the line of Jon Block of Stifel. Please proceed with your question.
Joseph M. Hogan - Align Technology, Inc.: Hi, Jon.
Jonathan Block - Stifel, Nicolaus & Co., Inc.: Thanks. Hey, guys. Joe, you'll be on the beach then. I still think I'll be at this desk right here. But maybe just some thoughts on 2017 and maybe I missed that, John, from your commentary or even the slides. But I think last quarter you talked about the high end of the 15% to 25% revenue growth and op margin in around 23%. Are there revisions to either of those numbers that you gave last call for 2017?
John F. Morici - Align Technology, Inc.: What we've guided to Q3 – and you could see that from overall guidance standpoint. So, that's the update, Jon, that we have after we've seen Q2. And then from there, you can probably do the math to kind of get that overall from a year standpoint, but at least for the Q3 guide we feel comfortable with what we're seeing so far and that's what we ended up forecasting.
Jonathan Block - Stifel, Nicolaus & Co., Inc.: Okay. I mean I got it from a math perspective. I guess just to push you a little bit notably on the revenue. You blow out two or three – I'm sorry, you blow out 2Q. You guide 3Q ahead. Obviously you just keep it 25% for the year and would imply a bigger step down for 4Q, but, I guess, you're just sort of saying go with what you guys gave last quarter. There is no official change to those numbers.
John F. Morici - Align Technology, Inc.: That's exactly what you're hearing, Jon.
Jonathan Block - Stifel, Nicolaus & Co., Inc.: Okay. Fair enough.
John F. Morici - Align Technology, Inc.: You said it better than we wanted to. That was really good.
Jonathan Block - Stifel, Nicolaus & Co., Inc.: All right. And then just any thoughts on the ASP? John, if you can remind us – I believe you took price in the U.S. earlier in the year. Did you take price internationally more recently? And then the euro for the first time in several quarters sort of flipping, should be a tailwind. So maybe when you think out on the Invisalign ASP in the back half of 2017, is there any direction you can give us there? Thanks, guys.
John F. Morici - Align Technology, Inc.: Yeah. You're right, Jon. In North America, we took price increase in April. And in EMEA it came in July. So the price increases have happened. And, as we look at what's happening for the next quarter, we're pretty much expecting price to be flat to this quarter. So we have price increases. We also have other pressures and FX unfavorability as well, but you net all that out and third quarter we expect ASP to be flat.
Joseph M. Hogan - Align Technology, Inc.: Hey, Jon. Joe again, on your question on third quarter, fourth quarter. I think the best way to take what we're saying is we're not calling a step-down in the fourth quarter. We're just doing and giving you a good clarity on what the third quarter is. That's what we have clarity on now. And...
Jonathan Block - Stifel, Nicolaus & Co., Inc.: Understood.
Joseph M. Hogan - Align Technology, Inc.: Okay.
Jonathan Block - Stifel, Nicolaus & Co., Inc.: Understood. Thanks, guys.
Joseph M. Hogan - Align Technology, Inc.: Yeah.
Operator: Our next question comes from the line of Jeff Johnson of Robert W. Baird. Please proceed with your question.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: Hey, guys. Good afternoon.
Joseph M. Hogan - Align Technology, Inc.: Hey, Jeff.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: Just on the ASPs, Jon's question just reminded me, he was asking about euro flipping and then maybe getting a little benefit over the next few quarters. John, as we get into 2018, are we inching closer at all to any release of those additional aligner reserves where that could theoretically start to help ASPs at all? Or is it still too early for thinking about any ASP benefit from those kind of factors?
John F. Morici - Align Technology, Inc.: Yeah. Jeff, it's too early. I mean it's part of our overall plan, where we have that premium price product that has the additional aligners and that's built into the plans that we have and the pricing that we have. So, there's no extra reserve coming back related to that. It's just part of our overall plan from a strategic standpoint, as well as what we're thinking from an ASP standpoint.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: Yeah. Fair enough. And, Joe, I found your comments interesting at the very end of the call, just maybe a note of caution. And, obviously, I know as the numbers go up, so to do expectations, and so I guess trying to keep everybody kind of a little level headed here. But I think in the past calls, you've also talked about your confidence in clear aligners eventually replacing brackets and bands and why would you want metal on your teeth and things like that, and you had a slightly different message this evening. Is there anything looming over the next few quarters that has you maybe a little worried or you just want to make sure we all kind of account for tight rate in our models, anything like that?
Joseph M. Hogan - Align Technology, Inc.: No, I'm not trying to give you any kind of warning or anything like that, Jeff. I have all the confidence in the world, like I said in my final comments, that we'll complete this mission of eliminating wires and brackets with a digital system, with plastic. I think, I get questions all the time as you can guess when you see these kind of growth rates about the tip – that we're at a tipping point in this business. I think we all know about the whole term tipping point, and what it would mean. And all I was trying to get across is I don't think you can take two quarters and draw a line towards the tipping point, but don't mistake in anything at all that there is something that we see that would in some way shake our confidence in what we think we can do.
Jeff D. Johnson - Robert W. Baird & Co., Inc.: All right. Fair enough. I appreciate it, guys.
Joseph M. Hogan - Align Technology, Inc.: Okay, Jeff.
Operator: Our next question comes from the line of Richard Newitter of Leerink Partners. Please proceed with your question.
Ravi Misra - Leerink Partners LLC: Hi. Good afternoon. This is actually Ravi in for Rich. Thanks for taking the questions. So just a couple if I can start just with the scanner business. You guided, I think, I heard up sequentially 3Q. Can you give us a little bit of a color in terms of what kind of penetration into your adoption base are you seeing here? I mean if we use a proxy of about 34,000 doctors that you shipped Invisalign product to last year, can you help us kind of understand what the runway here is for additional docs picking up this product? And then, secondly, just going to take a stab at the SDC volume. I'm guessing it may be about 2,000 cases in the quarter. Any direction on that? Thanks.
Joseph M. Hogan - Align Technology, Inc.: Ravi, on the scanner penetration, you have to look at it as almost two separate markets, the orthodontic market and the GP market. I'm not sure exactly how far penetrated we are in the orthodontic side, but, let's say, what you have to look at is often when a doctor starts to do more and more Invisalign they want an iTero scanner per chair. And so you really can't look at it as a unit per doctor in that sense. You've got to look at it as a unit in the sense of number of chairs in that office. And so I'd say, obviously, we have a higher penetration rate right now on the ortho side than we do on the GP side, what's like Shirley quoted a moment ago at 150,000 GPs in the United States. We haven't really even begun in that sense. And that type of scanner has a good balance between Invisalign and being able to do restorative applications too. So if you're worried about kind of a max out on penetration that's not necessarily in the way that we're thinking certainly on a yearly basis. On the SDC volume piece, I don't think we've given out that data and I don't think we necessarily want to do that both for our sakes and SDC's too.
Ravi Misra - Leerink Partners LLC: Great. And then if I can just get one more on just OpEx and investments. Some of the calls that we've spoken to is that dentists are pretty favorable on maybe shifting more of their cases towards Invisalign. Can you just talk a little bit about kind of the TFM, how that's kind of playing out as you brought it to the U.S. and whether you feel like you need to expand and doing more investments to support further conversion of these cases to Invisalign? Thanks?
Joseph M. Hogan - Align Technology, Inc.: Yeah. Ravi, first, I think your question is a great question. It's just from a penetration standpoint how do you drive more of it, and what you do. TFM is one of it. I mean, we've really rolled that out strongly in North America this year. Our numbers are tremendous in the sense of when you have a customer who wants to dedicate time to really learn. So again think of TFM as kind of the learning curve, as you have primarily an analog process and your whole office is worked around gluing wires and brackets and adjusting emergencies to people's teeth and what's it look like when you go do more of a digital format. And at the front end of the digital system, how you work with ClinCheck. And these are doctors that come forward and say they want to devote 90 days, 120 days of just learning, spending time to learn how to really ramp up in a digital format and it works well. But it's self-selected in that case, because doctors come forward. They really want to do that and spend their time. I'd also say the other thing I've learned in this job over the last two years is how important peer-to-peer is from a growth standpoint. It is having really good strong doctors that can communicate to other doctors about how to use Invisalign. We see this not just in North America. We see it all over the world. It's critical. And we've ramped up new programs like IMOP (42:47) and some other things that just really helped in that sense, both across the orthodontic community and also across the GP community to do it. So those are the two big programs I'd say we use to address the question that you have about how you ramp-up doctors.
Ravi Misra - Leerink Partners LLC: Great. Thanks. And if I could squeeze one last one in. Just given that the landscape in the dental industry you're out there right now and your cash balance, any type of color on what kind of acquisitions that you guys would be potentially interested in, beyond the – I appreciate that you've been kind of building out the OUS, kind of, sales base by some of those distributor purchases, but anything beyond that that we can kind of think about?
Joseph M. Hogan - Align Technology, Inc.: Ravi, I call than an IQ question, kind of, okay. And the way I'd answer that is we're in the clear aligner business and anything that help us to sell more clear aligners directly, it doesn't have to be explained, would be in our wind – our range. So, that's why we have a scanner business. We have a scanner business not from a diversification standpoint. We have a scanner business because it allows us to sell more clear aligners. And so, just you're not looking, I don't care how much cash we have. We're not looking to be a diversified dental company. We do clear aligners.
Ravi Misra - Leerink Partners LLC: Thanks. Appreciate the questions.
Shirley Stacy - Align Technology, Inc.: Thanks, Ravi. We've got one more question, operator?
Operator: Our last question comes from the line of Steve Beuchaw of Morgan Stanley. Please proceed with your question.
Zachary R. Wachter - Morgan Stanley & Co. LLC: Yeah. Thanks. This is actually Zach Wachter on for Steve. Joe, hey, just one question on Invisalign Go. I'm wondering if you could just update us, Joe, on the ramp there and how we should think about the timing of Go given that the GP channel seems to be doing a bit better here. When should we think about Go making a more substantial impact?
Joseph M. Hogan - Align Technology, Inc.: I think, Zach, the best way to think about that is if we take a step back from this whole thing. Our approach to GP channel more and more is we make it easy and efficient. And Go is a product like that. It's a product where you can adapt quickly from a GP standpoint. It does simple cases. Most Gos are less than, I think, 15 aligners or so. We've adopted the protocols to make it simpler for doctors to do also. So, I would say, don't just take Go. You can look in the future. We'll have a series of more simple kind of products and systems that we'll introduce to GPs to get through. iGo is just the first one of those. That's not to down-sell iGo, but as we learn from iGo, we continue to iterate on that product line and make new and new offerings. But it's a big part of our GP strategy overall, is having the right product and the right kind of system that have feature that make it really simple for the GP docs.
Zachary R. Wachter - Morgan Stanley & Co. LLC: Got you. Okay. And just last one then. As far as the distributors that you acquired in EMEA and Brazil Go, was there any meaningful impact in the quarter from that?
Joseph M. Hogan - Align Technology, Inc.: No material impact and you usually don't see material impact in that for 18 months or two years really, so.
Zachary R. Wachter - Morgan Stanley & Co. LLC: Okay.
Joseph M. Hogan - Align Technology, Inc.: Next year this time is a great time to ask that question, Zach.
Zachary R. Wachter - Morgan Stanley & Co. LLC: Great. All right. Thanks for the question.
John F. Morici - Align Technology, Inc.: Thanks, Zach.
Operator: There are no further questions over the audio portion of the conference. I would now like to turn the conference back over to management for closing remarks.
Shirley Stacy - Align Technology, Inc.: Thank you, everyone, for joining us on our conference call today. This concludes our formal remarks. If you have any questions, please reach out to the Investor Relations department. Have a great day.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time. Have a wonderful rest of your day.